Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q1 2020 Conference Call. Today's call is hosted by Lois Cormack; President and Chief Executive Officer; and Nitin Jain, Chief Financial Officer and Chief Investment Officer of Sienna Senior Living Inc.  Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the Forward-looking Information and Risk Factors section in the company's public filings, including its most recent MD&A and AIF for more information.  You will also find a more fulsome discussion of the company's results in its MD&A and financial statements for the period, which are posted on SEDAR and can be found on the company's website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website, and the details are provided in the company's news release. The company posted slides which accompanies the hosts' remarks on the company website under Events and Presentations. With that, I will now turn the call over to Ms. Cormack. Please go ahead, Ms. Cormack.
Lois Cormack: Thank you, Zenita [ph]. Good morning, everyone, and thank you for joining us on our Q1 call this morning. We are hosting this call as we continue to battle the fight against COVID-19. Here in Canada and around the globe, the senior living residences have been at the epicenter of this crisis. Before Nitin and I give you an update on our operating and financial results, I want to provide you with some insight into how we have been managing amidst the crisis.  First and foremost, I would like to express my deepest gratitude to our team members. At Sienna, our team demonstration of resilience, compassion and commitment has been nothing short of heroic. I have been humbled by their dedication to residents, to each other, and their resolve in fighting COVID-19. They're making a remarkable difference in people's lives each and every day in the midst of this crisis. They are an inspiration to all of us.  We are deeply saddened by the tragic loss of life of residents and of 2 valued team members. I want to express my deepest condolences to their family and to our team members who are grieving while continuing to work and manage an extraordinarily difficult situation as a result of this pandemic.  The management of COVID-19 and the health and safety of residents and team members is currently our singular focus. Since the onset of the pandemic, we have been collaborating with sector associations, provincial government, health authorities and health systems partners to identify sector needs and help to shape important policies and protocols to manage the situation.  We have an internal incident management team, which is directing the prompt and comprehensive implementations of all preventative measures and provincially mandated directives across the company. Since the start of Q1, we have been proactive and diligent in addressing extensive infection prevention and other precautionary mesaures aimed at limiting the spread of the virus. To date, we encouraged, but we have no confirmed COVID-19 cases in any of our residences in British Columbia.  In Ontario, we have 4 locations that are now cleared of outbreak status and a number of residents and team members who previously were COVID-positive have now been resolved. We are encouraged to see more cases resolving everyday. We also welcome the expanded testing of all residents and team members in Ontario, and we are encouraged that the majority of these test results are now coming back negative. Despite the many precautions and safeguards, we currently have 13 Ontario long-term care homes and 4 retirement residences as well as 1 managed home with active cases of COVID-19 of our 83 owned and managed residences.  In some cases, there have been very limited spread of the virus to very few cases in either residents or staff. Unfortunately, a few of our long-term care residences in Ontario have been very severely affected and this has been extraordinarily challenging for residents their families and our team members. We are thankful with the support from the hospitals, the Canadian Armed Forces and local health networks who are providing assistance and expertise. Everyone is working extremely hard with the common goal of fighting COVID-19. Personal protective equipment has been experiencing global supply chain disruption.  To ensure that we would have access to PPE, Sienna joined other senior living operators as a founding member of CAPES, which is the Canadian Alliance to Protect and Equip Senior Living. This initiative is designed to ensure that all senior living providers across the country would have access to PPE amidst the global supply chain disruption. Through CAPES, Sienna commits to overfund our PPE requirement by 35% to allow for a reserve of supply that could be made available, at cost, to small and not-for-profit Canadian operators.  To date, CAPES has successfully procured over 20 million pieces of PPE. Sienna has had adequate PPE to date at all of our residences for use in accordance with provincial directives. We have sources nearly 3.7 million pieces of PPE to date for Sienna's use and we're thankful for governments who have prioritized the need in the senior living sector to access to PPE. With respect to staffing, the senior living sector was experiencing staffing shortages and challenges prior to the pandemic. This has been further exacerbated by COVID-19, particularly when a residence has a positive COVID-19 case. These staffing shortages occur because team members can no longer move between multiple sites. They are unable to work because they have tested or are suspected COVID-19 positive. Or they may decline work or self-isolate for various other reasons. We are doing everything that we possibly can to recruit and to deploy staff and to expedite the hiring process while supporting the single work site.  Since the start of this pandemic, we have offered part-time workers to go full time, and 900 part-time personal support workers and nursing staff have selected to work full-time with Sienna. In addition, we have hired many new team members to care for residents. We are thankful for the support of the Registered Nurses Association of Ontario who have been supplying new staff for us to hire. The temporary pandemic pay for frontline workers by the governments of Ontario and British Columbia is helpful in recognizing the essential and heroic work of our staff and other frontline markers. Inspired by the dedication and extraordinary effort of staff in the senior living sector, earlier this week, we participated in the launch of CaRES as a founding member, and this initiative is mobilized together with 3 of our sector peers.  The senior living CaRES fund will provide emergency financial assistance to sector employees who are facing extraordinary circumstances amidst the crisis. And with this, we will build a legacy for future investment in employee education. The CaRES Fund aims to provide onetime financial grant of up to $10,000 to eligible employees of long-term care and retirement operators in Canada. The founding members of the CaRES Fund have collectively committed an initial amount of $2 million to this initiative.  In addition to Sienna's $500,000 contribution, our Board of Directors has contributed approximately 20% of their annual cash compensation for the remainder of the year. We are grateful for the provincial government support in funding the extraordinary costs associated with the extensive infection prevention and safeguard measures as well as single work sites for team members, all of which help to limit the spread of the virus.  To date, the government of Ontario has announced $243 million in emergency funding for the sector as well as $20 million in funding for the retirement residences, which will fund incremental COVID-19 costs. The government of BC has committed funding for assisted living and long-term care to support single work site locations.  This is an extraordinarily difficult time for residents and families who have not been able to visit for many weeks now. And our team members are doing everything they possibly can to keep residents connected to their loved ones, often in very creative ways.  Timely and meaningful communication is so important, and we want all of our stakeholders to have the facts. This can be difficult, given the rapidly changing circumstances and the increased media attention as well as the intensity of the current reality that requires our team members to focus on providing essential care and services to residents. Providing quality and care and -- sorry, providing quality care and services to our residents is our mission.  We are extremely proud to have recently been awarded a 3-year accredication by the Commission on Accreditation of Rehab Facilities for the long-term care portfolio in Ontario, with a 99.5% performance to the accreditation standards. This is a reflection of Sienna's innovative programs, best practices and commitment to resident-centered care. It is the highest level of accreditation and is a testament to the incredible work that our team is doing every day.  Nitin will now provide an update on our operating and financial performance.
Nitin Jain: Thank you, Lois, and good morning, everyone. Before I discuss our Q1 financial results, I would like to express my gratitude to our incredible team during this very difficult time. Their unwavering commitment to providing the care and services to our residents is truly amazing.  Turning to our key operating metrics, average occupancy in our long-term care portfolio remained high at 97.9% in Q1 2020. Average same-property occupancy in the retirement portfolio was 85.1% in the quarter, a decrease of 1% from the fourth quarter of 2019 largely due to fewer tours and residents moving in as well as oversupply in the number of our markets.  Same-property NOI for the quarter was $36.4 million compared to $38.9 million in Q1 2019, a decline of 6.4% largely as a result of softer occupancy in our retirement segment. During the quarter, we recorded $0.9 million of expenses to support the cost of managing COVID-19 and $0.8 million of pandemic-related government funding revenues. The Long-Term Care division generated same-property NOI of $20.6 million compared to $21 million in the prior year mostly due to timing of expenses. Long-term care residences represent 56% of Sienna's portfolio, and we will continue to receive full funding for vacancies caused by temporary closure of admissions due to an outbreak, including COVID-19.  As a reminder, government funding for direct care and resident programs in Ontario is used for resident purposes only, and operators do not make any income from these. The Retirement division generated same-property NOI of $15.9 million compared to $17.9 million in Q1 2019 largely as a result of lower occupancy due to fewer tours and residents moving in as well as oversupply in a number of our markets. This was partially offset by fewer move-outs than usual and some conversions from temporary to permanent stay towards the end of the quarter.  At the time, we released our year-end results in February. We expected mid-single-digit decline in retirement, same-property NOI for the first half of this year. As the result of COVID-19, we incurred additional costs to manage this and experienced a decline in moving activity. Also in preparation for the hospital surge capacity program, we did not make significant adjustments to staffing in accordance with occupancy. These factors resulted in our same-property NOI to decline by 11% in Q1.  For the month of April, average same-property retirement occupancy was 83.7%. April rent collections from residents remained consistent with previous collection levels.  OFFO in Q1 2020 was $24.4 million compared to $21.3 million in the prior year, an increase of 14.5% largely driven by lower G&A expenses from mark-to-market adjustments on share-based compensation, lower cash taxes and lower net interest expense, partially offset by lower NOI. Q1 2020 OFFO a share was $0.365 compared to $0.322 in the prior year. In the quarter, AFFO was $25.6 million compared to $23.4 million in the prior year. And AFFO per share was $0.382 in Q1 compared to $0.353 in the prior year.  Sienna has the financial flexibility and liquidity to help us weather the current situation. During the quarter, the company entered into a credit agreement for a $200 million senior unsecured revolving credit facility for a 5-year term. We have also increased our unencumbered asset pool to approximately $540 million as of March 31, 2020, from $300 million at the end of 2019. Our liquidity was $222 million at the end of the quarter comprised of cash and cash equivalents and available credit lines. To preserve liquidity, we are also taking advantage of the deferral programs available to various tax payments, worker compensation premiums and property tax payments, and salary rate reductions and energy cost. As at April 30, 2020, our liquidity increased slightly to $225 million.  With our diversified debt profile, we believe that we will continue to have access to multiple sources of financing, and we have limited debt repayments and maturity for the remainder of 2020. We also believe that we will be able to successfully refinance our Series B debentures coming due next year based on current financial position. Our debt capitalization is well distributed between unsecured and secured debentures, credit facilities, conventional mortgages and CMHC-insured mortgages.  Turning to our balance sheet and capital structure. Our debt-to-gross book value improved by 90 basis point to 46.9% year-over-year. Sienna's debt-to-adjusted EBITDA improved to 6.8x in the quarter compared to 7.1x in Q1 2019. Our interest coverage ratio remained high at 4.2x. And we decreased our weighted average cost of debt by 20 basis point to 3.6% year-over-year. These are important indicators in terms of how we manage our debt and our ability to service it.  For Q1 2020, Sienna's AFFO payout ratio was 61.3%, leaving room in case of a temporary decline in AFFO. As the result of current volatility in the financial markets, we have suspended our dividend reinvestment plan in order to prevent dilution at current stock price. Dividend payments are paid in cash to all investors until further notice.  Given the uncertainties surrounding the impact and duration of COVID-19 pandemic, we have withdrawn our guidance for 2020 fiscal year. We expect that costs relating to managing the pandemic will continue to increase, and some of these costs might not be covered based on the current government funding announcements. We will closely monitor our business operations and impact in our financial results, and we will continue to provide updates on an ongoing basis.  Be assured that we're dedicating all our resources to managing the current crisis, we are not considering new expansion projects or acquisitions at this time. We may also limit capital expenditures to essential maintenance capital. Although it is impossible to determine the ultimate impact of COVID-19 at this point, with our financial profile and balanced portfolio, we are well positioned to navigate the current situation. With that, Lois will provide her closing remarks.  Lois, you might be on mute?
Operator: Excuse me. This is the operator. I'm not showing Lois' line connected at this time. She has not...
Nitin Jain: Okay, why don't I keep going with our remarks then? Managing COVID-19 is extremely challenging and operationally intensive and will likely remain at the center of media attention and national debate for some time. However, there will be opportunities that emerge as a result of innovation, enhanced relationships with our stakeholders and our ability to adopt new ways of working. We expect these changes will long past -- last long past this crisis.  The extent of the impact of COVID-19 on the company's operational and financial performance in the coming quarters will depend on certain developments including the duration and scope of the pandemic. We expect COVID-19 will continue to impact our operations and will require the use of certain precautions for an extended period of time under a new normal until a vaccine is developed and administered.  In managing the crisis, while managing the crisis is of a priority, we have put our short-term growth plans on hold. We do remain optimistic about Sienna's future as a high-quality provider of essential services to a rapidly growing demographic. And we look forward to gradually reopening the residences, while keeping our residents and team members safe.  I'm incredibly grateful for our team who continue to demonstrate commitment and passion and resilience. And in return, they received an outpouring of support and appreciation from residents, families in each community we serve.  We want to acknowledge the many partners that are supporting us in the fight against COVID and the strict leadership, including the Registered Nurses Association of Ontario, all public health units and regional Ontario health teams, the Canadian military, local health integration networks and the many hospitals.  With the support of our team and our partners, Sienna will continue to play a leadership team -- play a leadership role in positioning the sector for success and will emerge from this as a stronger company, of which we are confident.  Thank you for your participation on the call today. We are pleased to now answer any questions that you may have.
Operator: [Operator Instructions]. And your first question comes from the line of Johann Rodrigues with Raymond James.
Johann Rodrigues: First off. I just want to -- first off, I just wanted to commend your team. The work that your staff, Lois used the right word, it's heroic. So I can't imagine what it must be like on the front lines in those facilities, so they all have my sincere reverence.  Just turning over to the question, how much of the decline in the retirement residences in Q1 would you've attributed to COVID versus the oversupply issues that had previously been there prior to all this?
Nitin Jain: I think, no, Johann, Q1 usually is a part of the flu season before even the pandemic. And usually occupancy does not improve significantly in the first quarter of the year. We saw some decline. January and February were, in some essence, business-as-usual because the pandemic did not really gained spread at that -- during that time. Our March, we believe that it had quite a bit of impact on our numbers because of COVID-19, and that impact was further -- was bigger in April as well.
Johann Rodrigues: Okay. So maybe the 11% decline in same-prop NOI, what were -- do you know -- do you have this -- I know it's a tough question, but do you have a sense as to what that would have looked like at the end of February prior to the outbreak of COVID?
Nitin Jain: Yes. It's hard to do that because there are so many puts and takes in the quarter. In Q1, we also -- this was a leap year, so around -- we had an additional around 200,000 of expenses in this year, which we didn't have in last year. So that will account for, let's say, 1% or a bit for that. I think it's hard to answer that question because to segregate the impact of COVID-19 versus not -- we can do it from an expenses side. But to do it from the sentiment side of not being able to admit new residents, I think it's very hard to do that at this time.
Johann Rodrigues: Yes, fair enough, okay. And then the lawsuit, is there anything there? And is it the same party or same lawyers in the 2018 case? Is there any relation there? Or maybe just some more details.
Lois Cormack: Well, I just -- sorry, it's Lois. I don't know how, but I got kicked out of the call, so I apologize for that. And thank you, Nitin. Yes. We've just learned of this proposed class action related to COVID-19 pandemic. We are reviewing it, and we do expect that in due course through the appropriate court process that we'll respond. As you know, we cannot otherwise comment on litigation.
Operator: Your next question comes from the line of Jonathan Kelcher with TD Securities.
Jonathan Kelcher: Just sticking on the retirement side, so I just want to confirm the occupancy was down 140 basis points March to April. Is that -- am I reading that correctly?
Nitin Jain: That's correct, Jonathan.
Jonathan Kelcher: Okay. And what would your sort of move-outs be normally, your turnover normally?
Nitin Jain: I think on an average, we have around 1/3 of residents who move out. So when we look at our move-in and move-outs data for this quarter versus previous quarters, what we did see is actually a reduction in both of them. The move-ins were lower obviously because we were limiting people who could move in. And the move-outs also slowed, especially during end of March and in April. The numbers are not meaningful, Jonathan. Like if I -- if you do a 1%, the percent might show bigger than versus what numbers might be. And then we also had some people moving from -- converting from short-term to long-term stays.
Jonathan Kelcher: Okay. Do you -- so the -- I assume you're going to see a decline in May, too. Do you have a sense of how that is going to be versus April? Or is it too early to know?
Lois Cormack: You could say...
Nitin Jain: Yes. I mean, our average occupancy -- sorry, Lois. Go ahead.
Lois Cormack: Yes. I would say it's consistent. I mean we're not obviously able to move a lot of residents in. We are still moving in, but it would be for kind of essential services only. Because for seniors living alone through this horrible experience, it's been very, very difficult. So we have seniors that aren't doing well at home living alone and trying to access -- get groceries and medications and care and services that they need.  So we are admitting in for essential services. So that will -- and as it opens up hopefully in the coming days and weeks, that we'll be able to ensure safety with the advanced testing and be able to move people in, seniors who again are really not doing well living alone through this experience. So that may -- we may start to see a slower increase in admissions. But again, we would only do so to keep everybody safe through the advanced testing and isolation protocols and so on.  With respect to move-outs, again they have slowed and primarily because no long-term care home is admitting. And so normally what this has shown us is because a lot of residents in retirement who need care and services, at a certain point, will move into long-term care. And that has significantly slowed, Jonathan.
Jonathan Kelcher: Okay. And you talked a little bit about testing there. Have all your long-term care residents been tested now?
Lois Cormack: Yes. We're just in the process. The goal was as part of the action plan in Ontario, and I'm just speaking for Ontario right now because BC is a little different. But there was a mandate for advanced testing, and it was to be completed by this Friday, May 15, that all residents in long-term care and all the team members in long-term care would be tested by Friday, and then all residents and team members in retirement residences will be as well.  So that's well in process. I believe that about 65% to -- well as of yesterday. Now it's happening rapidly. But about 70% of our residents as of -- and team numbers as of yesterday have been tested.
Jonathan Kelcher: Okay, on the long-term care side, right?
Lois Cormack: Yes.
Jonathan Kelcher: Okay. And then would -- are they going to do on -- like once, I guess, everybody is through the testing, will they continue to do sort of ongoing testing of employees?
Lois Cormack: Well, certainly, that's something we're working through with government and the health authorities now or the public health or public health units. Because this is really the way to keep COVID out of our homes. Because team members who may be asymptomatic, and that's really been the main issue in terms of outbreak to this point, is asymptomatic team members that pass the screening and don't realize that they have it. So this is really, really very important to have advanced testing, widespread testing of team members on a regular basis with a quick turnaround time. Because our goal also is to get team members back to work, better off.
Jonathan Kelcher: Okay. But that is something the government is looking to do?
Lois Cormack: Yes. Yes. Yes. It's very important for this -- the prevention of the spread.
Operator: Your next question comes from the line of Pammi Bir with RBC Capital Markets.
Pammi Bir: I realize that it's still early, but what are your internal assumptions on when you may be able to start opening access for resident tours in the retirement home portfolio and perhaps nonessential-type move-ins?
Lois Cormack: Well, I think that's -- BC, Pammi, is -- our experience in BC is that there is -- there -- we have had thankfully no active cases or in staff or in team members or in residents. And there, I mean I think the whole -- the spirit, I know the residents are getting very anxious to get out and to have visitors and so on. So we anticipate there, it will probably be first. We're already planning to -- for resident dining and focusing on the resident experience, a number of things that we could do there.  But I think it will be in BC first. And as I said, we are moving residents in now, but it's really those who -- for essential care and services, but we do anticipate over the coming months that we will be moving in residents here in BC. But again, our priority here is to keep COVID out of our homes and residences. So we would only do it with certain protocols around testing and so on to ensure that everyone is safe.
Pammi Bir: Got it. Just in terms of the additional COVID-related costs in long-term care, is the expectation that most of those costs will be covered by government funding, other than perhaps some maybe timing differences? Or is there a possibility that some could actually just slip through over the course of the year?
Lois Cormack: It's probably hard to tell, Pammi. I think governments have been extremely supportive in every way, including provincial directives, access to PPE, guidance and so on and very collaborative. So that's been extraordinarily helpful. It's hard to say. I mean there's just so many expenses here. There definitely will be timing, timing considerations and in course. Hopefully the majority are, but it's kind of an unknown at this time. I don't know, Nitin, do you want to add to that?
Nitin Jain: Yes. I would just -- I would add to that, both especially Ontario and BC both have been very supportive in covering some of the costs. We do expect there would be some timing challenge. And Pammi, there could be some costs which are not covered as well. And again, as we have further visibility on it, and we will continue to provide disclosure over time.
Pammi Bir: Got it. And then just in terms of the labor shortage, can you maybe expand on how you're working to address that? I know you made some comments, but maybe -- and also what impact that might have over the balance of the year on retirement -- on the retirement segment?
Lois Cormack: Well, with respect to staffing, as we said, that the challenge was even before the pandemic. It was, I think, probably staffing challenges across the board, across the sector. But what we've really been focused on is moving part-time to full time, so we've had good success with that. We're very, very pleased that a number of team members have chosen to go from part time to full time.  The other is returning to work. As of today, we've got a number of team members who are off. I think we have about 170. But we also have a number that have now -- of team members that have now been resolved. So as that happens, we hope to get more and more team members back to work.  As well as we can, we're recruiting. So we've recruited many, many, many workers. And we've also introduced a new role, which is a care support assistant role, which has been very helpful. So we're bringing on a lot of new people and providing the education and orientation, and they're a real support to the team and to residents.  Yes. I think we have about 71 team members that have been resolved to date. And so we hope to continue on that vein and get people back to work.
Pammi Bir: That's helpful, Lois. And maybe just one last one, coming back to the proposed class action. Can you remind us -- I've been going back to 2018. I believe that lawsuit ultimately got discontinued. But are these lawsuits typically covered under your insurance coverage?
Lois Cormack: Well, first, I guess, just first of all as you know, operating in this sector does entail a certain amount of liability and litigation risk, just because of the nature of what we do. But all of our policies continue to be in effect, and including resident care. So -- and we have -- as we're -- as far as we know, these also include anything related to pandemic. So like we're not aware of any exclusions from our policies.
Operator: Your next question comes from the line of Troy MacLean with BMO Capital Markets.
Troy MacLean: Lois, you mentioned that some of your LTC properties were particularly hard hit. Was there any correlation between -- if it was a newer home or an older home that was going to be redeveloped that led to a bigger outbreak?
Lois Cormack: Yes. So is there a theme there?
Troy MacLean: Yes.
Lois Cormack: Yes. Definitely the -- In the C homes, and so these are as you know, the older homes, 40, 50 years old, 4 bed wards, really small congested spaces. It -- on average, it's about 300 square feet per resident compared to about 600 square feet per resident in a new A-class home. So very difficult. And once the virus gets in and every case it has come in with a team member who was asymptomatic when we've done the tracing, it's very difficult because there's unfortunately residents in 4 bed wards or rooms.  And it's really difficult to put the isolation protocols in place where you're isolating residents. And once you have a COVID-positive and you're waiting for test results and so on, it's difficult to start moving residents around and potentially exposing unnecessarily and so on. So it becomes very complicated in a C-class home. So I think that's definitely been the experience to date. If you look at it as it's -- it is worse and harder to contain in the C-class property.
Troy MacLean: And I know this is early into this, but is the industry calling for maybe a quicker adoption of the capital renewal program, or more funding to kind of accelerate that program? Or is it just kind of wait until this is over before that's decided?
Lois Cormack: Yes. Well, I think that will come. I mean right now, we're really -- we're focused on managing this situation and containing it. We do as I've -- I said, we have a number that have been particularly hard hit, 2 of which are C-class homes. So we're really I think the sector is really focused right now on doing everything we can to do the right things to manage this pandemic and be able to manage them looking out further. So that will come as well. I'm sure other policy changes and so on, which we would welcome to participate in those discussions and to be a part of.
Troy MacLean: And then on the policy where you can only work in one home or resident, is that likely to be permanent after all this is over? And does that have any implication for kind of the wage structure for the industry?
Lois Cormack: Well, it may, and it's not a bad thing. I mean the challenge is logistically doing that because we do need part-time workers just by virtue of having a 24/7 business. Because you need workers all nights and weekends and to cover off. So that's why it is what it is why we do have a number of part-time workers. It's important that we have that flexibility. And it's also kind of structural around how the scheduling and collective agreements go.  But in terms of -- if it did, I think we do want more full-time workers. And that's one way to do it. But the other is that, remember, we're all pretty much unionized, particularly in long-term care. It's the collective bargaining kind of has the wages established. So we're not sure where that will go. But the main -- with the temporary pandemic pay relief that the -- has been put in, in both provinces is extraordinarily helpful and recognizing the work that the frontline workers are doing in every sector that where we have essential workers.
Operator: Your next question comes from the line of Yash Sankpal with Laurentian Bank.
Yashwant Sankpal: I just want to understand why BC has not seen any cases versus Ontario, which has seen many cases in Québec. Have you guys been able to trace that to a particular factor?
Lois Cormack: I think it's difficult to say, yes. I mean the nature of this virus is changing whether one, as we know, it's -- it definitely has a higher prevalence in densely populated areas like the GTA. A lot of our properties in BC are not like -- they're interior and areas that aren't as densely populated, so that may be one.  Climate may be another one as well as the precautions that have been put in place, I wouldn't say, have been really any different than what's been done in Ontario. We put the same precautions in place in all of our residences across the country. So it's not sure that, that has one, other than it's probably because it is community spread, I think that this -- the prevalence has been lower in BC.
Yashwant Sankpal: Okay. And your retirement home margins, despite the occupancy decline have been holding quite nicely. And I just want to understand, I don't think it is happening. But is any government support for those expenses helping those margins?
Lois Cormack: No. I mean the -- any support for -- it's really a flow through. It just goes to support costs, expenses that you incur as you incur them. Nitin, do you want to add to that?
Nitin Jain: Yes. I mean there's no change. Our full year margin for last year for the time was around 44.7. So we did go down as it reflected in occupancy. And we talked about us started adjusting expenses because we wanted to ensure that as a company, we were ready if there was a surge capacity from hospitals, which did not happen.  So we do see a decline in margin, and there's no government help which will cover our expenses. There's some government help more from our COVID-related expenses, which is not material for Sienna, but would cover expenses such as PPE and any additional screening for the retirement homes.
Yashwant Sankpal: Okay. And I just want to understand that the support that government is providing to your staff, various initiatives, does that amount flow through your P&L at all? Or is it a separate thing?
Nitin Jain: Yes. For wages, again we are awaiting with further details provided on it. But if they do flow, it would be similar to long-term care, where there's revenue and expenses has matched. But again, we are awaiting further information on it from Ontario.
Operator: Your next question comes from the line of Tal Woolley with National Bank.
Tal Woolley: Hello?
Nitin Jain: Tal, we can hear you.
Tal Woolley: Perfect. Sorry, I guess one of the questions I wanted to ask was just about managing the outbreaks themselves. Have -- is there a learning curve for you operationally on this? Or is each kind of situation different?
Lois Cormack: Yes. Well, there definitely is, I think there's -- well there's definitely a learning curve for everyone. As you can see across the country, I think governments and everyone are working collaboratively to understand the nature of the virus and how it spreads and what precautions are most helpful. So I would say it's learning for everyone, and that's why the situation evolves so rapidly.  But we have certainly learned around, to Troy's question, about a C home and know how it's spread and what to do. So there's a lot of lessons learned here that we would, I think, apply to for the future because there's -- there may be future spreads, a resurgence in the fall or in the coming months. So we're all focused on managing this one, and then really already starting to apply lessons learned in each case as new cases pop up or as another outbreak occurs that we're learning from every day around how to manage the situation.
Tal Woolley: So you are finding that at least like versus outbreak 1 versus outbreak 8, like the response is getting a little smoother for you guys operationally?
Lois Cormack: Well, I think just because our more severe outbreaks are in homes that where it occurred over 35 days ago, so late March, early April, I think. And that's, I think the experience. If you look where the most severe cases are, it's those that happened earlier on, certainly in Ontario and in BC before some of the additional precautions were put in place, like universal masking and broader testing and some of these other things that we're now doing, which are very helpful.
Tal Woolley: Okay. Given that we're a little of the ways into this now and the government has been offering up additional funding, do you have a sense of how long like that, the $240 million that the government's put up, how long does that fund -- do you have an idea of how long that's fund the incremental costs you guys would be facing? And maybe when the industry and the government might have to have another conversation around costs?
Lois Cormack: Well, I think it's too early to tell. As we said, depending on the severity and the lengths of time that this goes on with this intensity and the nature of the outbreaks, that it will depend. What I think what's been committed is very helpful, and we'll just have to work through. We learn more every day around what the expense is. So that will come out in due course, and there will be timing issues certainly.
Tal Woolley: Okay. And then lastly, the Ontario Ministry of Long-Term Care sort of came out and said that, yes, there is going to be, not going to be right now, but there certainly will be a review of how the system is, stands as constructed going forward. What are you anticipating are going to be the primary -- or what should we be thinking about as some of the big issues that will need to get tackled in that review?
Lois Cormack: Well, I think there will be a number of things. The capacity in the system and potentially staffing levels. Long-term care has always been set up as the place for -- to make it home-like for residents. So just by virtue of the nature of what we do, they're not set up. Long-term care homes are not set up like hospitals with extensive infection prevention control and all of the things, the cleaning protocols, to the extent that you would in operating theaters or some -- it's -- we're just not set up like hospitals by virtue of the nature of the business and the services that we provide to residents that is much more home-like and including their own furniture and so on.  So there will be a number of things, including the capacity, and there's the C homes, and there's a number of things. But we would certainly welcome the review and would have -- we've learned a lot that we would welcome participation in that.
Operator: [Operator Instructions]. And your next question comes from the line of Brendon Abrams with Canaccord Genuity.
Brendon Abrams: Maybe just following up on Tal's question. What -- if we're looking to the future of the industry, what, I guess, structural or permanent changes do you envision to the operating model? I know other sectors are adapting to more physical distancing measures. It's an airline not booking the middle seat or restaurants opening at reduced capacity, things like that. I'm just wondering what, I guess, changes to the operating model in the future you see becoming a little bit more permanent?
Lois Cormack: I think it's difficult right now. This is what we're learning now. But for sure, it's going to require broad-scale ongoing testing for team members and families as they -- because we do want families to be coming back in and volunteers and to improve the residents' quality of life. It's been extraordinary difficult for residents in isolation for so many days and weeks.  So we do want that families to be able to get back in. So it's going to require broad, broad testing as well as significant access to PPE and training just on infection prevention protocols for everyone who would be coming into and as those restrictions open up a bit on visitors.
Brendon Abrams: Okay. But I guess maybe longer term, do you see like whether it's on capacity, reductions in capacity or number of residents in a home or increased staffing-to-resident ratios? Like can that become a permanent feature? and interestingly, how does that impact margin?
Lois Cormack: Any range of those things are possible. And I think it's just too early to tell where that's -- where that will go. I think everybody, as I said, are really focused on the current crisis and getting through this and managing the residents' care.  That's the real priority of keeping our residents safe, giving them the care that they need and managing the social isolation and protecting team members. So that's really the focus right now, and that will come in due time as what other changes in the future to set us up for success and to be able to provide the essential services that we do. Great.
Operator: Your next question comes from the line of Chris Couprie with CIBC.
Chris Couprie: Just a very quick one from me, just a clarification from Jonathan's earlier question with respect to April's same-property occupancy in terms of the month-over-month change. Is it the 85.1% which is the average for the quarter, or the 84.5% which is the -- at that same-property for quarter end?
Nitin Jain: Yes. So why don't I give you some numbers just to -- so there's no confusion. So end of Q1, our average same-property occupancy was 85.1%. And in April, yes, this average is 83.7%. And for Q1, the average is 84-point -- sorry, that is 84.5%. And as of April, it's 83.3%. So Jonathan's question was, if I understood it correctly, was 140-basis-point decline in average. And we saw that 140-basis-point decline in average. And now on the 120 percent -- 120 basis decline in asset.
Chris Couprie: Got it. And then I think you alluded to earlier that while we're having fewer move-ins, we're also having fewer move-outs to long-term care. Just want to get a sense if -- is there a kind of a pent-up move-out situation? Or is the -- or do you think that once long-term care is accepting people again, these people will generally try and stay, stay in the residence -- stay in your residence longer for than normal?
Lois Cormack: We would certainly encourage them to stay as long as we're able to provide the level of care. There may be some that really do need a long-term care. I think the lesson learned is that there may be residents that were maybe moving out, have done okay living in a retirement residence for a longer period of time. So that will be one of the takeaways, we hope. But there will be residents for sure that do need more care and services and will move out. Or there may be residents right now in a hospital that may not be able to move back into a retirement home depending on what their needs are.
Operator: Your next question comes from the line of Himanshu Gupta with Scotiabank.
Himanshu Gupta: On balance sheet, $280 million of debenture maturing early next year. I know there is some time left there, but what are your thoughts on unsecured debt market? And also, have the mortgage spreads moved for the retirement sector, given the current sentiment?
Nitin Jain: Sure. So the unsecured market is quite volatile in this -- during this time. There had been some REITs have -- which have been able to access the market. The spread could be anywhere from 300 to 400 basis points at any given time. So I think it's hard to predict that. From a CMHC financing perspective, we are in the process of our finance in a couple of our properties, which are CMHC eligible. Those spreads have been overall stable. So there's not a lot of change there.  And to your first question about Series C, it's coming due next year. We did buy $30 million of it from time back. We reduced the amount, which is outstanding. And given our current liquidity, our focus on adding more as we have financed the additional properties, our access to CMHC financing access to mortgage market, we do believe at this time that we will have quite a few options to be able to refinance it when it comes due.
Himanshu Gupta: Sure. And maybe just a follow-up on occupancy, what was the percentage decline in new move-ins the month of April and maybe May so far? It sounds like you're still moving residents on emergency or essential basis.
Nitin Jain: Yes. Just maybe from an average perspective, again Jonathan had a similar question. I think the numbers on end of March and April, our move-ins have been in very specific cases and only the homes which are not in any outbreak. I think it's hard to make up trends just using one month of number. So the numbers were lower than previously, but I think it remains to be seen how that impacts us going forward.
Operator: Thank you. And with that, I'll turn the call back to Ms. Cormack.
Lois Cormack: Thank you, Zenita [ph]. Well, thank you all for joining us this morning. We really do appreciate your ongoing support. This is a difficult time for everyone, for businesses and certainly for this sector. I really want to thank all of you for doing your part to keep yourself, your loved ones and for keeping society safe. So, thank you, and we'll look forward to our next call. And hopefully things will be better at that time with respect to this pandemic situation. So thank you. Have a good day.
Operator: Ladies and gentlemen, thank you for joining us today. This concludes today's conference. You may now disconnect at this time.